Operator: Good day and welcome to the Guess? First Quarter Fiscal 2022 Earnings Conference Call. On the call are Carlos Alberini, Chief Executive Officer; and Katie Anderson, Chief Financial Officer. During today's call, the company will be making forward-looking statements, including comments regarding future plans, strategic initiatives, capital allocation and short and long-term outlook, including potential impact from the coronavirus pandemic. The company's actual results may differ materially from current expectations based on risk factors included in today's press release and the company's quarterly and annual reports filed with the SEC. Comments will also reference certain non-GAAP or adjusted measures. GAAP reconciliations and descriptions of these measures can be found in today's earning release. Now I would like to turn the call over to Carlos.
Carlos Alberini: Thank you operator. Good afternoon and thank you for joining us today. As you all know the COVID situation around the world continues to be very fluid depending on the specific countries, levels of vaccination and other government actions. The U.S. is clearly ahead of the curve and the consumer is behaving strongly. Exhibiting signs of a response to pent-up demand being much more comfortable going out and shopping in stores, I'm very willing to spend in apparel and accessories. We have been observing these trends since mid-March when the stimulus checks were made available. Canada is still under various restrictions at present. And in Europe, most countries were in multiple degrees of lockdowns until recently and we experienced significant store closures during the quarter as a result. The great news here is that most countries have now reopened and so are our stores. We are thrilled with this development as our business is very large there. And while our Asia businesses were less impacted by lockdowns, the consumer seems less motivated to resume shopping in our stores at levels comparable to the pre-pandemic era. Let me get now into our results for the first quarter. We believe that the most relevant comparison to understand our relative performance this year is against our results for the pre-pandemic period, which is our fiscal year 2020. We will refer to this period as the LLY period during this call. We are extremely pleased with our fiscal 2022 first quarter performance, which exceeded our expectations for revenues and profitability across all channels. During the period, our revenues reached $520 million, doubling last year's results and were only 3% below revenues in the LLY period. During the quarter, we delivered a 5% adjusted operating margin, which is remarkable. The operating margin expansion was over nine full points versus LLY and was fueled by improvement in gross margin of almost 700 basis points and a lower SG&A rate of over 200 basis points. Adjusted operating profit was $26 million in Q1, which compares to an adjusted operating loss of $109 million last year as we faced the most challenging time of the pandemic. This also compares to an adjusted operating loss of $22 million in the LLY first quarter period, a $48 million improvement. In addition to the improvements in the macro environment that I mentioned this performance both top and bottom line is a direct result of the transformational work that we have done at Guess? over the last 15 months. This transformation touched every area of our business, including initiatives to elevate our brands and our product, the acceleration of our e-commerce business, the optimization of our global footprint and brand portfolio, the reorganization of our team globally and the execution of significant cost reductions throughout our operation. This company has been relevant and thriving for 40 years because of its strong business sense and incredible foresight into the future of not only consumer preferences, but also dynamic business models. The leadership and commitment to action of our Co-Founder and Chief Creative Officer, Paul Marciano has inspired yet another transformation for our company. On behalf of our entire team, I want to thank Paul for his relentless dedication to this company and for his vision, energy and courage to always pursue excellence. To execute this transformation, it required great teamwork and an enormous effort from our associates all over the world. I want to express how proud we are of what our entire team has accomplished under very challenging circumstances. We want to thank them for their extraordinary efforts. I believe these results showcase four key implications for our go-forward business. First, after closing 140 retail locations and renegotiating over 340 store leases in the past 15 months, the company is operating with a new occupancy model. Many unprofitable locations have closed forever. Lease costs for most of the renegotiated leases are meaningfully lower and in many cases, rents are now variable based on sales. This model is contributing to a lower occupancy cost structure across markets and is bringing profitability to the North America retail business that the company has not seen in years. Second, we have a healthier retail business with more full price selling and less promotional activity, which is delivering higher product margins. We are pricing our product based on perceived value which in many cases is higher than the historical price for comparable products and we are selling more of it at full price. These are structural changes to our retail business model which will enable strong flow through to profitability as we grow our sales. The third key implication relates to our e-commerce business. Our e-commerce business in North America and Europe grew 61% in Q1 and delivered a very high level of profitability. This is a key growth vehicle for our future. Fourth and last, the work that we have done to streamline our cost structure has resulted in a more efficient operating model and a lower SG&A load to support our business. So, we now have the flexibility to strategically reinvest some of the savings in growth-driving initiatives like marketing and further development of omnichannel capabilities. Most of the transformational changes that we executed are permanent and will contribute to further operating margin expansion for our company. For the current fiscal year 2022, we now have a clear line of sight to a 300 basis point expansion of our operating margin compared to the LLY fiscal year 2020 period which we closed with a 5.6% adjusted operating margin. Longer term, we expect this to result in the acceleration of at least one year to reach our 10% operating margin goal by fiscal year 2024 versus our original estimate of fiscal year 2025. As you can imagine, I'm very excited about this. Now, let me tell you about some of the trends that we saw in the business in the first quarter. In the US, customer traffic levels are still negative versus LLY, but have increased substantially fueling our sales improvement most likely a result of pent-up demand, stimulus checks, and vaccine rollouts. We continue to see record levels of conversion and better full price sell-throughs. It is clear that along with the macro factors impacting our sales, the customer's responding well to our offerings. So, we see customers getting back out into our stores and we are also seeing category performance trends that indicate that they are getting out of the house for multiple locations. While our athleisure and essential lines continue to perform well, we have seen a material uptick in our sales in dressier products including denim, dresses, high heels, and our Marciano collection. In Europe, we are still dealing with significant government-mandated capacity constraints which have resulted in a more muted traffic recovery at this point. However, conversion in that region has increased materially driving the sales comp improvement. We continue to see stronger performance in categories like athleisure and handbags versus the dressier products in the US where the vaccine rollout is much more advanced. In Asia, traffic is still under pressure as the consumer remains sensitive to the COVID situation especially in Japan, where we are still seeing government-mandated lockdowns. The product categories that have performed better in this environment include dresses, outerwear, and denim. Our wholesale and global licensing businesses are performing very well indicating that our product is resonating with our wholesale customers and our brand is gaining market share. In Europe, the fall/winter season that we recently closed have orders up single-digits to last year with fewer accounts, but higher average orders. And our licensing business grew over 14% in Q1 versus LLY. Feedback from our licensees on our brand has been super encouraging. We've spoken depth about our strategic business plan in March, including our six strategic objectives. They are; organizational culture, brand relevancy, product excellence, customer centricity, global footprint optimization and functional capabilities. Today, I will touch on a few initiatives related to these objectives. Let me start with an update on the important topic of ESG. This summer, Guess? will publish its fourth sustainability report, which is prepared in accordance with GRI and SASB standards and is undergoing reasonable assurance procedures by KPMG. As you know, having our sustainability data assured and verified constitutes a leading practice in the industry. Regarding brand relevancy, as you know, we are currently focused on elevating our brand. Paul has been driving this game-changing initiative, including the development of our one global line, the elevation of the styling of our assortment and the quality of our products and how the brand is represented across all touch points globally. There is no one in the world that knows the Guess? brand better than Paul Marciano. Under his leadership, the product teams have worked really hard to improve the materials that we use, maintained our focus on sustainability and increased perceived value for each item in our collections and the results are amazing. I have said this before, we now have the best product I have seen in all my years at Guess?. Next Paul and the creative teams are working on elevating the customer experience through our websites and in our stores and we will be remodeling key stores, where appropriate to elevate our image and maximize sales. Regarding our customer centricity initiative, our team is laser-focused on the full implementation of the Salesforce Customer 360 suite that we have mentioned in the past. We have just completed the implementation of the marketing cloud solution and are now focusing on service cloud, which includes the integration of data to develop what I call one view of the customer. Next, I want to touch on our global footprint optimization. We have discussed the great strides that we have made this year in closing unprofitable stores including flagships and renegotiating brands. At the same time, we have our eye out for strategic new store opportunities where the economics make sense. Current conditions in the real estate market are prime for us as a result of the massive levels of store closures that took place across the world over the last year. We are also testing some short-term pop-up models with different product capsules like athleisure for example, using limited CapEx to expand our footprint and customer base and test future locations. In short, we believe in the power of the store portfolio as a key pillar of our omnichannel strategy and we are investing in our growth. Our last strategic objective is regarding functional capabilities. During the quarter, we opened a new distribution facility in Poland to service our Eastern Europe e-commerce business. This initiative will result in significant savings related to processing and transportation costs as well as improved service levels. In summary, we continue to make progress on the key initiatives of our strategic plan and we can see the benefits already. So how are we approaching the rest of this year? We are optimistic about the market recovery based on our experience in the US, where vaccination levels are high and the consumer is willing and capable to spend more in our product categories. People are starting to go out, socialize and attend events. And I cannot think of another brand better positioned for those locations than our own. To capitalize on this opportunity, Paul plans to invest more aggressively in marketing and advertising for the upcoming seasons. We also want to prepare our business to respond to an increase in demand. We are maintaining flexibility with our capacity to buy additional inventory in key strategic categories like denim, handbags, essentials and dresses. And we are focusing the additional buys on more seasonless products. In addition, we are equipped to fast track product to chase sales in the back half of the year. All in all, for the year, we are increasing our outlook on revenue for the year from down high single digits to down mid-single digits. This may prove conservative if the changes in consumer demand in the US are sustained and replicated in other countries. But at present, we believe it is more prudent to plan our business as if these developments are more temporary. In closing, I want to say that, I have been very fortunate throughout my career but only a few times, I have felt that the company was truly at an inflection point. Today, I strongly believe that Guess? is at an inflection point and we are now set up to capitalize on the work that we have done. We have a powerful global brand that enjoys strong momentum in the market. We have amazing product across all categories. We have transformed the model into a dynamic business with significant digital acceleration and big opportunities to increase market share and expand margins. And Paul and I have a great leadership team that is highly committed to take the company to the next level of growth profitability and value creation. The stars are aligned and I couldn't be more excited about our future. With that, let me pass it to Katie to review our financials and outlook in more detail. Katie?
Katie Anderson: Thank you, Carlos. Good afternoon everyone. I'm excited about our financial performance this quarter which truly exceeded our expectations by almost every measure. We saw a sequential improvement in sales performance across our businesses and the structural changes that we have made to our cost and margin model over the last 15 months allowed us to capitalize on this improvement in demand for our product in a big way. As a result, we delivered an adjusted operating profit in Q1 for the first time in six years with every one of our segments delivering higher profit than pre-pandemic LLY. I could not be more proud of our results. Now let me take you through the details. First quarter revenues were $520 million down 3% to LLY in US dollars and 5% in constant currency. This performance exceeded our expectations, driven by sales momentum in our European wholesale and e-commerce channels, US retail business, as well as our global licensing business.  Overall, the decrease in revenue is attributable to permanent store closures and negative same-store sales as a result of pandemic-related traffic decline. I want to note that these permanent store closures are really accretive to profitability representing about $10 million of incremental operating profit in the first quarter. Additionally, government restrictions for our retail operations in Europe and Canada had a material negative impact on our sales with these temporary store closures worth about 12% of sales versus LLY for the total company during the quarter. On the other hand, this quarter we benefited from an anticipated shift in European wholesale shipments from Q4 of last year which is worth about the same amount. So overall, these two onetime factors offset each other. I'm happy to report that we continue to see sequential momentum in our e-commerce business which was up 61% for the quarter in North America and Europe. This compares to 38% in Q4, 19% in Q3 and 9% in Q2. Let me get into a bit more detail on sales performance by segment. In Americas retail revenues were down 12%. The decline was driven almost entirely by temporary and permanent store closures. Store comps in the US and Canada were down 1% in constant currency, a vast improvement to Q4 which was down 21%. Same-store sales were positive in the US, but Canada remains challenging as they struggle with the pandemic. The improvement in sales was driven mostly by improved traffic trends, while conversion in AUR remain high. Tourist-centric stores continue to underperform non-tourist-centric stores by a wide margin during the quarter. However, over the last few weeks our tourist stores have picked up indicating that at least domestic travel could be resuming. In Europe, revenues were up 15%. The wholesale business showed strong growth over LLY benefiting from the shift in shipment timing. However, our retail business was negatively impacted by lockdowns and operating restrictions. Store comps for Europe were down 17% in constant currency still muted by the increase in COVID levels in that region, but also an improvement to last quarter which was down 26%. E-commerce sales continue to gain momentum. This channel is helping us to mitigate some of the headwinds caused by the COVID crisis now, but will also be a key enabler of growth for us in this segment in the future. In Asia, revenue was down 35%. This was driven by permanent store closures and negative store comps were down 25% in constant currency. Sales comps in South Korea and China were down in the high-teens. However, other areas in the region, like Japan, were down over 50% as they continue to struggle with COVID outbreaks. Our Americas wholesale sales were down 2% to LLY. This business has shown consistent improvement quarter-to-quarter. We are happy to see sales in this business back to pre-pandemic operating levels, but this time with much higher profitability. Licensing revenues also outperformed and were up 14% to LLY in Q1, driven by strong performance in handbags, fragrance and footwear. Gross margin for the quarter was 40.7% almost 700 basis points higher than two years ago. Our product margin increased 20 basis points this quarter versus LLY, primarily as a result of higher IMU, which increased 300 basis points partially offset by business mix. Occupancy rate decreased 660 basis points. About half of the decrease is a result of business mix driven by the increase in wholesale and the rest is attributable to permanent store closures rent release and lease renegotiations. This quarter we booked roughly $6 million of rent credits for fully negotiated rent release deals, mostly in Europe. There are still some negotiations with our landlords that are outstanding as we continue to extend our conversations to address the second round of temporary store closures. Adjusted SG&A for the quarter was $186 million compared to $204 million two years ago, a decrease of $19 million or 9% and better than our expectations. We continue to benefit from changes to our expense structure, lower advertising spend and a decrease in expenses related to permanent store closures versus LLY. In addition, there was a benefit of about $7 million from government subsidies, mainly in Europe, which was partially offset by higher variable expenses related to the growth of our e-commerce businesses. Adjusted operating profit for the first quarter was $26 million versus an adjusted operating loss of $22 million in Q1 two years ago. Our first quarter adjusted tax rate was 28%, up from 11% two years ago, driven by the mix of statutory earnings. I'm really proud of the status of our balance sheet. I will take you through some details, comparing now to last year not LLY. Inventories were $405 million up 3% in US dollars and down 4% in constant currency versus last year. We feel good about our inventory position, and believe we have the right assortment to satisfy demand throughout the year. We ended the first quarter with $395 million in cash. Cash was $419 million in the prior year. However, remember that we had proactively drawn down on our credit lines in Q1 and paid them back in Q2. On a net basis, we grew net cash by $115 million from the prior year. Our receivables were $306 million, up from $240 million last year. This increase is a result of the timing shift in the wholesale shipments into this quarter. We are, however, collecting from our accounts materially faster than last year with DSO in Europe down about 20% this quarter. Our payables are up as a result of better payment terms with our vendors as well as a higher portion of fresh inventory on our books. Capital expenditures for the quarter were $9 million, up from $6 million in the prior year, as we begin to strategically reinvest in technology and select remodels. Free cash flow for the quarter was negative $65 million, an increase of $3 million versus negative $68 million last year. So, now let's talk about next quarter and the rest of the year. The current environment is still uncertain and as a result we are not going to provide formal guidance. But I will walk you through how we are thinking about the near-term future. Again, I'm going to anchor our commentary on LLY. For both the second quarter and the full year, we are raising our revenue expectations from down high-single-digits to LLY to down mid-single-digits, as permanent store closures and pandemic-related traffic declines are partially offset by continued momentum in our global e-commerce and wholesale businesses. Because of both the temporary and permanent store closures, we don't think sales comps are the best way to understand our retail performance. In addition, as you know, our business model has a few dimensions to it which are moving in different directions. So I'm going to focus on total revenue by segment to break this down for you best. In Americas Retail, we continue to see performance roughly follow trends in Q1 and expect total revenue declines for Q2 and the rest of the year to be in line with our Q1 performance, which was down 12% versus LLY, primarily impacted by permanent store closures. In Europe, Q1 was impacted positively by the shift in wholesale and negatively by temporary store closures. These are now being lifted in many of the countries in which we operate, Germany being the biggest exception at the moment. We believe the stores will operate at higher levels of productivity than over the past year, but still below LLY. E-commerce will continue to grow, but at more modest levels given that we are reopening the stores and lapping strong growth from last year. Together with our expectations for wholesale revenue cadence, we anticipate revenue in Q2 for our Europe segment to be roughly flat to LLY and grow modestly for the full year. In Asia, we are expecting a Q2 revenue decline similar to that of Q1, but the back half of the year will be slightly better as we anniversary softer performance in LLY. In Americas wholesale based on our current order book, Q2 will perform better than Q1 and revenue should be flat to LLY for the full year. Lastly in licensing, we had a very strong first quarter, but we are modeling for the year to be down to LLY given the challenges in the wholesale business globally right now. As Carlos mentioned, this may prove to be conservative, but we want to keep inventory lean and if demand exceeds our expectations we know that we have the capabilities to react. In terms of profit, adjusted gross margin in the second quarter is expected to be around 400 basis points better than LLY, driven primarily by lower occupancy costs as well as improved IMUs and lower promotions. We anticipate that the adjusted SG&A rate will be up 150 basis points as cost savings are offset by lower sales levels and reinvestments and business expansion initiatives, including advertising. For the full fiscal year 2022, we expect operating margin to expand by approximately 300 basis points to LLY. This would bring operating margin for the year to around 8.6% versus LLY adjusted operating margin of 5.6%. In closing, it's truly an exciting time to be at Guess?. After over a year of navigating the company through an extremely turbulent time in our global history, the dust is finally settling. And even though the near-term macro environment may still be uncertain, I can see very clearly that our business is now primed to gain market share and bring those dollars to the bottom line with a more profitable model. Now we need to execute. I'm so thankful to be on this transformational journey with Paul and Carlos and part of this phenomenal global team, which I know can bring this company to the next level. With that, I will conclude the company's remarks, and let's open up the call for your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Susan Anderson from B. Riley FBR. Your line is now open.
Susan Anderson: Hi. Good evening. Nice job in the quarter. It's great to see the profit flow through so strongly. I was curious on the digital business -- hi, Carlos. I think you said it was up 61%. I'm curious if there's any color you can give between the US and Europe. And then also can you maybe talk a little bit about the customer you're seeing coming online? Is this a younger customer or a new customer? Is it the same one coming into the store? And I guess are they buying more of the GUESS Originals products, or is it kind of everything all around all of the products? 
Carlos Alberini: Yes. Thank you Susan. Well, we were, of course, super pleased with that performance. The acceleration was even more pronounced in Europe than in the US with respect to your question. And of course, there was some correlation with the fact that we had multiple stores closed. We -- during the first quarter, we were closed in over 200 stores company-wide. A lot of those stores were in Europe as you know. And -- but we felt that we got a significant business as a result of many of the changes that we have made in -- with our platform. Sales force continues to perform extremely well for us. We are seeing increased conversion with mobile and that represents a big part of the business. We are seeing that the expansion of the assortment online are being very, very successful. And in some cases, we even see better sell-throughs in some of the exclusive products that we carry online versus what we carry as core category. So super excited about everything that we are doing there. The US also had and Canada also had a very good performance during the quarter and really helped on that acceleration overall for our company for the two regions combined. And also something very important is that we continue to really elevate the brands and elevate everything that we are doing and that includes being much less promotional. And as a result, we are making a lot more money with the business. So overall really super pleased with this. We see a lot of opportunity in the future with this business. And we see it as a complement to everything else that we are doing to service our customers. So we see it as a part of this omnichannel strategy that we are pursuing. With respect to customers what we saw during the quarter was additional customers have been added to the file. The number if you take those two regions combined it's about 400,000 new customers. So it's a pretty significant number for us. We haven't seen this type of growth. And we feel that we are into something also very important, especially, as we complete the implementation of Customer 360 because as you know that is all based on using data to do a better job with personalized marketing and better engagement with the customer base. So we are seeing that all those new customers are converting very nicely. So a lot of the sales growth is coming from those new customers. And we feel that we can do even more to really continue to grow the file. And we are going after those initiatives as well. So overall a great quarter for us on all digital and we think that we are learning a lot about what else we can do to really continue to grow the business. And I mentioned elevation of the brand. One of the big things that Paul and the teams are -- the creative teams are working on is to really elevate the experience that customers are going to have in the website in addition to everything that we're doing in stores. And wait until you see the images and the copy and how we are redesigning -- how the -- what sites are going to be. So we are very excited about this as well. 
Susan Anderson: Great. That's really helpful. And then if I could just add another one. On the wholesale front it looks like that's turned around nicely in first quarter in the Americas. Maybe if you could talk about kind of what you're hearing from the wholesalers. Do they want more products? Is there not enough product? And then what are your expectations as we kind of go throughout the rest of this year?
Carlos Alberini: Yes. We were very pleased with that business as well. I think that we are also gaining share in -- with our retail customers in the wholesale business. For sure we are seeing it in Europe in a very significant way. We are seeing that the number of accounts is contracting to a certain extent, but those accounts that are continuing to do business with us they are buying a lot more per order. So we know that we are gaining share and we know that this is not happening to everybody in the business. We think that the business overall is contracting to a certain extent at least for now and because of all the closures and everything else. But we continue to really see growth there. And in fact for our numbers, I think I mentioned during the -- my prepared remarks, that our business for the recent season was in positive territory. And actually I'm going to tell you that it was not only positive by high single-digits. So very happy with all of that.  With respect to the US, we see a very similar type of behavior and a lot of our growth is also coming from increase in share we believe. Of course, we published report as everybody and we see that inventory levels for some of our primary customers are very low and we want to be prepared to support those customers with additional demand if they see it and we believe that they will. So we are prepared to do that as well.  Our inventories in North America were down about 11% at the end of the first quarter, but we see a big opportunity to react. I think as Katie mentioned this in her remarks, we can really be very quick in reacting. We are working with vendors that are taking positions on fabric just to be able to really move very fast. And we feel that this is the right time to have that type of preparation. And we think that the product that we are now developing is the type of product that is not risky to carry because a lot of it is looking back at our essentials line and the type of product that is less season risky. And so we feel that we're going to be in a very good place if that uptick in demand does occur. 
Susan Anderson: Great. That's very helpful. Thank you so much.
Katie Anderson: I was just going to add this when you asked about there's this wholesale expectation for the rest of the year. We think based on the order book now we think we'll get a little bit of a bump in Q2 and then we'll be flat for the full year. 
Susan Anderson: Flat versus 2019? 
Katie Anderson: Versus LLY. 
Susan Anderson: Yes. Okay. Great. Thank you so much.
Carlos Alberini: Thank you, Susan.
Operator: Thank you. [Operator Instructions] Our next question comes from Janine Stichter from Jefferies and Company. Your line is now open.
Janine Stichter: Hi. Good afternoon, everyone. And a great job. 
Carlos Alberini: Thank you. How are you doing?
Janine Stichter: Good. How are you? I wanted to ask a bit more about the store closures. I think you said they were $10 million accretive to operating profit during the quarter. Maybe just help us walk through that math, what you're seeing on recapture when you close stores and then how that helps you think about your ultimate potential store base? 
Carlos Alberini: Well I'm going to start and then probably Katie may want to add a couple of comments here. But just we have been looking at our portfolio in a very deep way. I mean, obviously, this is something that we were doing even prior to the pandemic. We always look at every deal and it has to stand on its own every time that we have an opportunity to either close something that is losing money or looking at renewals. We always expect that each store will have to really do its job. And that's part of our DNA.  As the pandemic hit and then we started big negotiations with landlords on all the stores that have been closed even temporarily, we also looked at opportunities to really go the extra mile with some -- especially flagship locations that have not been profitable for us or that we didn't think that they had a place in our portfolio as prominent as at the beginning of when the stores were opened. And we were able to negotiate and not agree with different landlords to really go through this. As you know the accounting standards have changed in this in the last few years and we carry an asset value. That asset value has to be adjusted based on whatever -- if stores are closed. And that has been done. So with respect to the $10 million that Katie was talking about in her remarks that is a definitely bottom line performance improvement as a result of the closures that she was referring to. And this is something that is impacting our operating profitability going forward. So we are going to see a very similar type of behavior in the remaining quarters of this year and going into the future.
Katie Anderson: In terms of the math, Janine, we closed about 10% of our base over the last two years. Retail is half of our business. So you kind of think about the top line like that. And then again like Carlos said, these were unproductive stores. We talked last time that we closed a lot of flagships were also a big movement in operating profit for us.
Carlos Alberini: And there are some regions where this was more prominent. Just China is a great example. Maybe we closed like 60 stores in the last 15 months and many of the stores we don't think that they belong in our portfolio going forward. And then your question about where do we go from here? We are very happy with where we are right now. Just frankly we went through the entire portfolio globally. We are talking about over 1,000 stores that we own and operate. And we feel that we are where we want to be. A lot of the leases have been renegotiated and stores that probably in the past don't make a lot of sense for us in terms of contribution. All of a sudden now they are big contributors because of the new leases. And so we will continue to manage this in a very active way. We like where we are. And the more important thing is that now we are seeing big opportunities to expand. And we are prepared to invest because we believe in retail and we believe in stores. And we think that is a critical part of how to showcase our brand. We are -- we have a lifestyle brand multiple categories. And the best way to really show that is when everything could be in one environment and with an offering of very great experience for the shopper. And that's what we are going to build.
Janine Stichter: Okay, great. And then maybe just a couple more on the supply chain. You talked about being able to fast track products in the back half. Curious, if you're just seeing any of the supply chain delays that we're hearing from a lot of companies. And then kind of along the same lines, I think you talked about continuing to have IMU benefits. Are you seeing any impact of raw materials inflation or any other inflationary aspects, or is it just that you're seeing those things, but they're offset by other efficiencies that you're finding? Thank you.
Carlos Alberini: Yeah. Thank you, Janine. Well so obviously supply chain issues are industry-wide and we are definitely being impacted to a certain extent by those, especially I would say inbound freight is probably the biggest area that has impacted us. Fortunately, we are -- we have a very good team who is looking in both regions in a very careful way and taking options that can minimize that impact. But, nevertheless, just having the inventory was critical. So, in some cases, we have to wear goods. We don't do that much of that fortunately, and then, just looking at alternative ways to bring the product to the right place. We think that this is going to be the case for a few more months. Just, I think at the last time we talked, we mentioned that we were expecting that this was going to be taken care of by the summer and unfortunately our team here now thinks that this may take a few more months to really solve all the issues. But, the good thing is that as we saw that it was difficult to bring the product in, we started calling our vendors and we have amazing relationships and trying to anticipate and bring product in earlier. And this is happening both here in North America and also in Europe as well. And in Asia, we don't have this issue. And as we are bringing product in, just in some cases we -- that means that we have to carry some extra product. But again, the risk is not significant because of the type of product that we are bringing in. And with respect to IMU, many of the contracts that we had, were already kind of like fixed on price. So, even when raw material costs have gone up, we were somewhat protected. Now in order to avoid for this issue to impact us in the future, we are looking at alternative materials to be able to replace some of the fibers or some of the cotton that we are using, but always trying to protect the quality of the garment and the materials that we use. And this is also giving us an opportunity to look for more eco-friendly type of materials in those events we are looking for alternate sources. So, we don't see -- and of course in our guidance, this is already included what we expect for margin behavior based on what we are seeing today, which includes those increases in some of those materials.
Janine Stichter: Great. Thank you very much, and best of luck.
Carlos Alberini: Thank you, Janine.
Operator: Thank you. [Operator Instructions] And presenters, I show no further questions in queue at this time. So, I will turn the call back to Carlos for closing comments.
Carlos Alberini: Well, thank you very much. I want to thank you all for your participation today. We are very excited about our momentum and the opportunities that we see ahead. I talked about being at an inflection point, and I really mean it. We are in front of the most important quarters of the year, and we look forward to sharing with you our progress very soon. We wish you all a great Memorial Day weekend. Enjoy it. And again, thank you for your support.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect.